Operator: Good morning, ladies and gentlemen, and welcome to the Commerzbank AG conference call. Please note that this call is being transmitted as well as recorded by audio webcast, and will be subsequently be made available for replay in the internet. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me know turn the floor over to Stephan Engels.
Stephan Engels: Good morning, everyone. Welcome to Commerzbank’s conference call for the first quarter 2014. I am very much looking forward to guiding you through our results today. Ladies and gentlemen, in Q1, Commerzbank achieved a Group net profit of EUR 200 million, after EUR 64 million in Q4 2013, and minus EUR 98 million in Q1 2013. The later was burdened by restructuring charges as you will recall. The Group operating results for the first three months stands at EUR 324 million, which compares to EUR 90 million in Q4 2013 and EUR 464 million in Q1 2013. In the Core Bank, the operating results amounted to EUR 496 million, with Core Bank revenues growing in all business segments at overall 3% quarter-over-quarter. We see PC and CEE with encouraging increases in revenues, also in a year-over-year comparison. MSB and Corporates & Markets could also improve their revenues quarter-on-quarter while the subdued markets and the persisting low interest rate environment led to declining revenues in the MSB, Corporates & Markets and Treasury year-over-year. In the first quarter of this year, we managed to further significantly reduce our NCA portfolio, which again showed a positive net capital effect of around EUR 270 million. This of course is overcompensated by the negative Basel III RWA effect. We reduced the portfolio by EUR 5 billion through active management of redemptions and maturities, including EUR 0.7 billion from the sale of our U.S. Commercial Real Estate portfolio. On top of that, we internally transferred the portfolio of about EUR 9 billion, Public Finance assets to our liquidity portfolio in Treasury, which to the full extent are highly rated and Central Bank eligible securities in compliance with the definition of the so-called high-quality liquid assets under the new Basel III liquidity risk framework. This transfers mainly short-term assets with maturities before the end of 2016, underpins the quality of large parts of our Public Finance portfolio as we already pointed out in previous disclosures. Despite our ongoing strategic investments and higher expenses to fulfill regulatory requirements, costs remained slightly below EUR 1.7 billion in Q1. This is further proof of our strict cost management. The low Q1 LLP level of EUR 238 million met our expectations, while taking into account that the first quarter always shows somewhat lower LLP bookings due to year-end procedures lasting well into February. At the end of March, Commerzbank’s Core Tier-1 fully loaded ratio stood at an unchanged level of 9%. Under the phased-in assumptions, we reached a level of 11.3%. Both ratios reflect the full adoption of risk-weighted assets under Basel III that came in at the expected amount of EUR 25 billion. On Slide 4, you can see the quarterly P&L development for the Group. As already mentioned, the quarterly transition is characterized by a favorable development in revenues and LLPs, while costs remained stable. That sums up to a Group operating result of EUR 324 million, well exceeding Q4. Please note that all business segments contributed to a revenue increase of 3% in the Core Bank. However, the Group operating result of Q1 2013 could not be reached as particularly revenues in the NCA declined due to the portfolio run-down. With taxes of EUR 95 million and minorities of EUR 29 million, this led to a net result of EUR 200 million, significantly above Q4 2013. As you can see on Slide 5, our total expenses show a stable development over the last quarters at a level of EUR 1.7 billion. To allow for better understanding of the breakdown into personnel and operating expenses, it is helpful to compare the current Q1 figures with the respective Q1 figures of 2013 as the fourth quarter is always effected by year-end bookings. Personnel expenses went down by EUR 46 million following a staff reduction by 1,800 full-time equivalent, of which more than 50% took place in Private Customers. This decrease in personnel costs comes even in spite of the collectively agreed salary increase. Operating expenses however show an increase year-over-year by EUR 20 million. This reflects our ongoing strategic investments, but also rising regulatory costs due to investments into infrastructure to meet the increasing regulatory requirements and the first impact of costs in connection with the comprehensive assessment process of the ECB. Notwithstanding this increasing burden, we will adhere to our reasonable investment approach. Thus from today’s point of view, we expect rising costs in the quarters ahead. However, our ongoing efficiency measures will produce further results allowing us to confirm our cost guidance of max EUR 7 billion for 2014. As outlined on Slide 6, the loan loss provisions came in at an expected low level of EUR 238 million. Loan loss provisions of EUR 104 million have been booked in the Core Bank, proving the ongoing good portfolio quality. Compared to Q1 2013, LLP bookings have been on the same levels while we see a nearly half LLPs compared to a long Q4 2013 with year-end procedures until February. And of course what you also can derive from our LLP bookings in Q1 is that we have not seen any reason for extra bookings in the light of the AQR exercise. All in all and as guided before, we expect LLPs in 2014 to be below the 2013 levels. Now let’s turn to Slide 7, giving you an overview of the performance in the Core Bank segments. All business segments in the Core Bank increased the operating results and their revenues compared to Q4 2013. PC and CEE show an encouraging revenue development also compared to Q1 2013. PC increased its revenues year-over-year by EUR 16 million or 1.9% and CEE managed to grow the revenues by EUR 39 million, which translate into an impressive 21% increase. MSB benefited from lower LLPs of EUR 82 million when compared to Q4. Revenues increased by EUR 9 million quarter-on-quarter, and were only slightly lower by EUR 12 million or 1.7% compared to Q1 2013. Corporates & Markets showed a solid start into 2014 with a reported result of EUR 49 million higher than in Q4 2013. Due to the difficult market conditions, especially in interest rate trading, Corporates & Markets has not reached its very good revenues of Q1 2013. Excluding OCS and net CVA/DVA, revenues in Q1 2014 came in EUR 13 million lower year-over-year. The result of Others & Consolidation has decreased by EUR 171 million quarter-over-quarter. This is due to a lower result of Group Treasury, triggered by subdued market conditions, and net burden from additions and releases of legal and other provisions and higher burdens from regulatory requirements allocated to Others & Consolidations. Let’s look more closely at the quarterly performance of the individual segments starting with Private Customers on Slide 8. Q1 shows an encouraging improvement in volume and quality of revenues while cost measures take effect. This leads to a very good operating result of EUR 112 million. Net interest income was stable with growth in new loan business and active margin management in deposits, which we have already started in earlier 2013, compensating for the persisting low interest rate environment. Our strategy in the Securities business to focus on recurring commission incomes starts to pay off, with assets in premium and managed accounts rising 16% quarter-on-quarter, PC has reached the highest earnings level since mid of 2011. This is an important driver in the growth of net commission income of EUR 43 million quarter-over-quarter. The volume share of assets in premium and managed accounts already amounts to 28%, and is likely to rise in the upcoming quarters. And PC again increased the net number of new customers by 43,000 providing a further proof for PCs growth trend. With the cost income ratio of 83%, PC reached a good milestone and the best level since integration of Dresdner Bank, thanks to an FTE reduction of 3% quarter-over-quarter and 7% year-over-year. As you can see on Slide 9, the bulk of the revenue growth stems from the branch-based business. On top of the already mentioned revenue growth in the Securities business, it has to be pointed out that the new mortgage loan volume grew again significantly by 30% to EUR 2.3 billion in the first quarter, and also revenues from pension scheme products improved significantly. Please turn to Slide 10. In Mittelstandsbank, revenues as well as loan volumes could be kept stable on a high level despite headwinds from rather low client activities and the persisting low interest rate environment. Total revenues came in slightly above Q4 level reaching EUR 715 million. Our teams were able to compensate the continuing margin pressure on the deposit business by higher interest income on loans. With LLP charges of EUR 57 million and the cost income ratio of 45%, MSB reached an operating result of EUR 337 million, exceeding not only Q4 2013, but also Q1 2013 by EUR 12 million. With this result, MSB could again reach a very good level above 20% in return on equity. As we all know about the subdued credit demand in Germany, we are pleased to report a slight growth of loan volumes in our German Mittelstand business in the course of Q1. Year-over-year, the increase in loan volume adds up to more than 7% growth, which proves our strong franchise. Based on our very good market position in the Mittelstand, our management remains highly committed towards future volume and revenue growth in Mittelstandsbank. To give you a more detailed glance at the development of Mittelstandsbank, please turn to Slide 11. In Mittelstand Germany, revenues from direct customer business have been stable with good results in capital market products such as Securities and Corporate Finance. Due to a negative EUR 12 million swing from CVA/DVA compared to Q4 2013, revenues came in at EUR 370 million. While revenues from customer business in Großkunden & International have been stable despite decreasing client activities in Corporate Finance, revenues in financial institutions benefited from customer business flows and international trade business. As shown on Slide 12, Central and Eastern Europe achieved an excellent start in 2014. The growth trend continues and all individual P&L components are pointing in the right direction. Revenues increased by almost 4% quarter-over-quarter and by a remarkable 21% year-over-year, with continued volume growth at stable interest margins and ongoing customer acquisitions paying off. Despite this growth track of One Bank, costs remained under control and are prudently managed. With EUR 98 million in Q1, the operating profit as well as the operating ROE level of 24% significantly exceeds our medium-term target. Strategically, One Bank entered into a promising cooperation with Orange Polska that allows access to 15 million mobile customers in Poland. Please turn to Slide 13. In a difficult market environment, Corporates & Markets reached solid result of EUR 203 million excluding effects from OCS and CVA/DVA. A key highlight of Corporates & Markets in Q1 is our EMC business that could increase revenues significantly due to strong customer demand for investment products. Supported by a single asset appreciation of EUR 42 million within credit portfolio management, this drives the revenues increase of EUR 133 million compared to Q4 2013. LLP releases of EUR 9 million was significantly below EUR 55 million in Q4 and cost discipline remained on a high level in anticipation of regulatory impacts. On a year-over-year comparison, it is apparent that we could not uncover from the subdued markets environment in the fixed income business, but still reach in total a respectable result. Let’s have a look at the divisional split of Corporates & Markets on Slide 14. The underlying performance of our Corporate Finance business was mixed, in line with the rest of the market. We’ve had a rather slow start in DCM loans and also seen a year-over-year decline in leverage finance. Therefore even our best performance in DCM Bonds since Q1 2012 and the solid distribution of our commercial banking products to multinational clients could not yet compensate for the negative revenue impacts. Underlying revenues in Equity Markets and Commodities at EUR 175 million improved strongly quarter-on-quarter. Our revenue stream was supported by the high client demand for both, off-the-shelf and tailor-made derivative products. Faced with low market activity, the performance of Fixed Income and Currencies at EUR 135 million improved quarter-on-quarter, but was far from reaching the outstanding Q1 2013 results. While revenues in credit and FX trading have been at last year’s level, interest rate trading has not yet reached this level. So I think you probably also see with quite a few up here. Revenues in Credit Portfolio Management stood at EUR 104 million, EUR 42 million were realized on the back of the improvement in credit quality of one counterparty, after note against this counterparty was sold partially IFRS required us to revalue the remaining part on our books. To complete our picture on the Core Bank, please turn to Slide 15, where you can see the development of the risk profile of the Core Bank. The default portfolio in the Core Bank has been further reduced to EUR 5.8 billion, which results in an improved coverage ratio and a non-performing loan ratio of 1.7%. Risk density shows the ongoing good quality of the portfolio at the Core Bank. The booked LLP of comparably lower EUR 104 million in Q1, reflect the typical seasonality of LLPs due to year-end procedures that last until February. Therefore, we expect LLPs to normalize again in the upcoming quarters. Now let’s have a closer look at our Non-Core Assets division as outlined on Slide 16. During the first quarter, the asset run-down in NCA has been keeping pace and the exposure default has been reduced to EUR 102 billion. Before giving you some background on the asset run-down, let’s have a view on the development of the P&L. With the loss of minus EUR 172 million in the first quarter of 2014, NCA improved its result by EUR 157 million, compared to the fourth quarter 2013, which is solely due to lower LLPs in the first quarter. In comparison to the first quarter 2013, the result of NCA declined by EUR 86 million, the main reason for the year-on-year downturn was a decrease in revenues by a EUR 128 million as a result of the ongoing portfolio run-down. This revenue downturn also accounts for the major part of the revenue decline in the Group P&L on a year-over-year comparison. With regards to the asset run-down, a reduction of EUR 5 billion has been achieved through active portfolio reduction in all business areas of NCA. Commercial Real Estate has been reduced by EUR 3.5 billion, already including EUR 0.7 billion from the sale of our U.S. assets. Subsequently our Hypothekenbank Frankfurt’s branch in New York has been closed by end of March 2014, and a few remaining assets will be managed out of Frankfurt. The sale of our U.S. assets has been capital accretive at an amount of EUR 20 million net capital release. Also in Ship Finance, we have further reduced our exposure default by EUR 0.9 billion, while the reduction in Public Finance amounts to EUR 0.6 billion. In addition, we have identified approximately EUR 9 billion of high-quality mainly short-term Public Finance assets. This portfolio was transferred to the Treasury portfolio as part of the Group by liquidity risk management. These assets are all Central Bank eligible and classified as high-quality liquid assets under Basel III and account towards the liquidity reserve of the Group. Since the main portion of the transferred portfolio matures by the end of 2016, it does not change our assumption on the EUR 75 billion EaD target for 2016. As always communicated in the past, the ongoing run-down of portfolio is weighing on the net interest income, so we have to expect weaker revenues in the upcoming quarters. Slide 17 provides you with a more detailed view on the risk profile of NCA. The default portfolio has been further reduced by almost EUR 800 million to EUR 8.8 billion. This reduction is primarily resulting from the sale of the Spanish asset in February 2014, while EUR 150 million of the reduction in the default portfolio stemmed from Ship Finance mainly due to repayments. The comparatively low LLP booking of EUR 74 million in Ship Finance is driven by a EUR 50 million release due to parameter updates that we were obliged to book according to IFRS. On the other hand, the comparatively higher LLP booking of EUR 62 million in CRE is mainly caused by three single assets, and please keep in mind that we had higher releases in Q1 2013 of roughly EUR 30 million. As already mentioned, the exposure default in NCA has been reduced to EUR 102 billion. Please note that also Ship Finance contributed with EUR 0.9 billion from EUR 40.4 billion to EUR 13.5 billion, which you can net – cannot see in the table due to roundings. On Slide 18, we would like to give you an NCA portfolio overview with regards to risk clusters. As you can see the green parts of the chart represent 75% of the portfolio, which are lower risk assets while only 7% are clustered into the higher risk sub-portfolio that require a special focus. Let me spend some more words on the Public Finance first. EUR 36 billion contain mainly liquid assets with low discounts in market value, e.g. German Bundesländer or Swiss and Belgium sovereigns. To a large extent, these assets also qualify for liquidity portfolios and our realized assets transfer to our Treasury departments stems from this portfolio. EUR 21 billion contain less liquid assets with higher discounts in market value e.g. EUR 15 billion can be labeled as Euro exit risks as they consist of Italian, Spanish and Portuguese assets. The remaining part of EUR 6 billion contains for example U.S. sub-sovereigns. Although these two sub-portfolios are obviously not risk free, they are not subject to a comprehensive active reductions strategy beyond opportunistic transactions that we have also conducted in the past. Together with the lower risk sub-portfolios in Commercial Real Estate and Ship Finance, they form a portfolio of non-critical but also non-strategic assets, that are appropriate to be held to maturities. To give you a further rational on this strategy, buyers quite often have higher funding costs than Commerzbank. And has a high margin requirement, resulting in booked losses without any real economic benefits for Commerzbank. Therefore, we will pursue to carefully evaluate all relevant transaction metrics to ensure the value preserving asset run-down. Our management focus rather lies on the high-risk sub-portfolios in Commercial Real Estate and Ship Finance. The management of those EUR 7 billion exposure at default are key for our success to a run-down management in NCA, complemented by the prudent management of the EUR 9 billion medium risk sub-portfolios, and of course our EUR 9 billion non-performing loan portfolio. On Slide 19 you can see the drill down of the risk clusters in the performing book of Commercial Real Estate and Ship Finance. In Q1 2014, we have slightly reduced our exposure in the higher risk clusters by EUR 0.2 billion, while the reduction amounts to EUR 5.6 billion year-over-year. The EUR 1 billion reduction in the medium-risk cluster of Commercial Real Estate also contains the effect of our U.S. sale as mentioned earlier. As shown on Slide 20, our Common Equity Tier-1 fully phased-in ratio is stable at 9%. As you can see in the table, risk-weighted assets increased by EUR 28 billion, of which EUR 25 billion represents the Basel III effect as expected and presented in our last disclosure. Together with the Basel III phased-in capital effects, this RWA increase leads to a ratio of 11.3% for Basel III Core Tier-1 phased-in as of Q1 2014. Fully phased-in capital effect of minus EUR 5 billion, compared to the phased-in capital lead to a fully phased-in ratio of 9%. On Slide 21, we have summarized development of key Group figures with regards to balance sheet and capital ratios. In addition to the already explained developments of our total capital ratio, declined to 14.8% due to the application of Basel III phased-in standard. Besides the impact of the Basel III RWA increase, the recognition of outstanding on fund investments under CEE are such as the amortization of Tier-2 instruments during the final five years of maturity contributes to the decrease. As already pointed out in the past, please keep in mind that our current calculations are cautious and do not incorporate any possible issuance of eligible additional Tier-1 or other measures leaving us high flexibility, possibly resulting in even stronger numbers. Our CRD4 leverage ratio under phased-in, as shown on Slide 22, declined by 0.22 percentage points to 4.1% at the end of the first quarter. The reason for the decline is the phased-in of the new CRD4 capital deductions in 2014, as well as a slightly higher asset base as you have just seen in the development of our total assets. Both, the leverage ratio and the phased-in as well as the stable leverage ratio fully phased-in, clearly exceeds the currently proposed minimum. On Slide 23, I would like to give you an update on our funding structure. As already pointed out on our last conference call, our funding profile is well diversified and we benefit from a continuing strong funding situation. Our secured funding instruments are well established, and in Q1, we have placed EUR 500 million public-sector Pfandbriefe with maturity 2019 at Mid-Swap flat. Going forward, our ongoing asset reduction and our strong deposit base limit our funding needs. Let me conclude my presentation by giving you a brief outlook on Slide 24. First, we have confident to further grow our business volumes in the Core Bank in line with our strategy and based on our strong market position, though we are facing headwinds, such as the ongoing low interest rate environment and all in all subdued client activities including a reluctant credit demand. Second, despite strategic investments and rising regulatory costs, we are holding on to our cost guidance for this year of maximum EUR 7 billion funded by ongoing efficiency cost measures. Third, we’re also confirming our LLP forecast of below last year’s level with an unchanged outlook in Ship Finance. Further, fourth, we will stick to our value preserving run-down strategy in NCA as outlined today. And fifth, our capital ratio remain a top priority on our management agenda. We are focused on improving our Basel III ratio under fully phased-in assumptions to above 10% by the year-end 2016. As I have already mentioned previously due to the constant refining of the regulatory environment and market volatilities, we do not expect a linear development. Last but not least, I would like to point out that the AQR delivery process is on track and in the light of that, our assessment has not changed. With our Basel III phased-in ratio of 11.6% at the year-end 2013 and a hurdle rate for the AQR of 8%, this translates into a buffer of almost EUR 8 billion, which is more than the total portfolio assets in NCA, we have clustered as higher risk just to give you an idea of the dimension. Our client valuation methods have been constantly been challenged by internal and external auditors. On the stress test assumptions that have now been released, it can be said at this early stage, that they are probably more demanding than expected by the industry. Nevertheless, even if it might result in higher impacts on the stress capital ratio, we feel well prepared to pass the exercise. Ladies and gentlemen, thank you very much for your attention. I am now looking forward to take your questions.
Operator: (Operator Instructions) The first question comes from Andrew Coombs. Please go ahead with your question.
Andrew Coombs – Citigroup: Good morning. I have a couple of questions in fact, especially on the Others & Consolidation division. Clearly a big swing, you mentioned ECB comprehensive assessment and expenses related to that. And then perhaps you could give us some guidance on next set [ph] of questions. The second one broader Q1 number, you had EUR 6.87 billion, so below the EUR 7 billion guidance. So I just push you on why the caution there? Is that because you are expecting more investment spend, more regulatory costs. Is that the bank tax coming through? Thank you very much.
Stephan Engels: Yes. Maybe if we start with the cost question first. Indeed, we expect slightly higher costs for the upcoming quarters. Basically across all the line items that you mentioned, investments, regulatory costs and to a certain extent, we will probably also see another cost increase on the salaries through to the Greek wage increases. On the – you’re right, it has decreased quarter-on-quarter by EUR 171 million. This is due to the lower result of Group Treasury, which is obviously triggered by the current subdued market conditions and if you compare quarter-on-quarter and net burden from additions and other provision. And these are provision in the spec for example of tax issues, pending lawsuits, real estate maintenance and the likes. If you compare the result of Others & Consolidation with the Q1 2013, you see that the difference is less pronounced in this comparison. The higher burden from regulatory requirements, you asked what is the cost of the ECB comprehensive assessment. In the first quarter, we incurred costs let’s call it in a low two-digit million area. I guess that will at least be the running rate for the next quarters depending on how much capacity we need to allocate. And in general, I guess that the run rate on Others & Consolidation that we have seen in Q1 will probably stay in this area always provided that the Treasuries result will be at the level that they have been in Q1.
Andrew Coombs – Citigroup: Thank you. If I could just come back to the point of subdued market conditions, can you be more specific exactly what were the moving factors there?
Stephan Engels: Now, I think that is in line with what you have probably seen with our peers. We are not disclosing detail here.
Andrew Coombs – Citigroup: Okay. Thank you.
Operator: The next question comes from Johan Ekblom, Bank of America. Please go ahead with your question.
Johan Ekblom – Bank of America Merrill Lynch: Thank you. Just a couple of questions. First of all, just looking at, there has been some big movements in the risk density report, I guess one is in the CEE business where there is a 20% increase in the expected losses quarter-over-quarter, and I guess the other one is in the Commercial Real Estate. I mean you addressed sort of the losses this quarter, but there has been a 50% increase in the expected loss levels. Are these just parameter updates that we shouldn’t pay too much attention too, or is there anything else going on underlying here that we should be aware of? So that’s the first question. The second question is just coming back on the revenues and maybe just on the non-core business. If we ex-out the OCS, DVA/CVA effects, revenues were actually negative in the non-core assets, and I don’t think you’ve been flagging for a while that we should see a negative trajectory on revenues, but how we should we think? I mean are you guiding to negative revenues going forward, or is there anything peculiar about the Q1 numbers?
Stephan Engels: On your revenue question first. No, we are not guiding towards negative revenue numbers in the upcoming quarters. That might be more than peculiar relative of the Q1, including some valuation effects. In general what you have said is obviously true and what I’ve said that the – let’s say diminishing portfolio will obviously see a very similar trajectory on the revenue stream. In that sense, Q1 is probably an outlier rather than a trend. Risk density, I think there you need to take, let’s say, somewhat broader view of a number of quarters. There are always little adjustments following reclassification of assets or movements even in some of the top level adjustments that we may have on one or the other end. So in general, I’d say the Q1 numbers EUR 59 million and the Q1 number this year of EUR 64 million. So I think that is the better trend to understand what happens there in the portfolio.
Johan Ekblom – Bank of America Merrill Lynch: Thank you.
Operator: The next question comes from Johannes Thormann, HSBC. Please go ahead with your question.
Johannes Thormann – HSBC: Good morning everybody. Johannes Thormann, HSBC here. Two questions from my side. First of all, looking at your fee income, we’ve seen a pick up in the Securities business. Could you explain a bit of what were the reasons there because market has been a bit more shaky, and then this was a certain surprise. And secondly, is this is now a fair run rate for the next quarters? And then the other thing is the reduction of your shipping volume somewhat stalled in Q1 after the big decline in 2013. Any reasons for that? Thank you.
Stephan Engels: Shipping volume declined by EUR 0.9 billion in Q1, which I think is not too bad a number. Indeed it didn’t really include any sales which we have seen in 2013. But again as a development for quarterly level, almost a EUR 1 billion on a EUR 14 billion I think is not too bad. Please that keep in mind most of it has been achieved by repayments from customers. Fee income in the – especially in the PC business, as I said before, has seen a shift from recurring to non-recurring income. And I think that the positive trend will hopefully keep on over the next quarters. And I think at the end of the first half of 2014 comparison with the previous year, will give us all an even better impression of what has happened there.
Johannes Thormann – HSBC: Thank you.
Operator: The next question comes from Guillaume Tiberghien, Exane BNP Paribas. Please go ahead with your question.
Guillaume Tiberghien – Exane BNP Paribas: Yes, I have got two questions. The first question relates to the Spanish commercial real estate portfolio. Can you update us on the seg [ph] process and also what RWA are attached to this portfolio? And then second question relates to your Equity Tier-1 ratio. I understand you didn’t book the EUR 200 million of net earnings in the numerator of the ratio this quarter and I didn’t really understand why that was the case? Thank you.
Stephan Engels: Yes, updating you on the Spanish commercial real estate portfolio, I can’t say that much. I think I’ve read the press and so have you. And you don’t really expect me to comment on this. Maybe one little remark, last quarter we have seen a lot more of press activity around our quarterly call. Now it’s less that at least seems to indicate that people are at least mostly working on something rather than feeding the press with stuff. The Core Tier-1 ratio under – let’s call it strict interpretation of the rule does not really foresee that you include your process on the quarterly basis, but rather at the year-end. We have for Q1 chosen to not include the EUR 200 million to make sure that we are kind of a bit cautious, because as I said before there is a lot of regulatory refinement going on looking forward technical standout as well as netting procedures. So we want to keep a little bit of let’s call it reserve to make sure that we have not too much of a jumpy Core Tier-1 ratio from a quarter-to-quarter.
Guillaume Tiberghien – Exane BNP Paribas: Thank you.
Stephan Engels: My expectation would be that, if we have the feeling that we are, let’s call, altogether through the most of the regulatory refinement that will probably include some in the run of the year.
Operator: Then next question comes from Britta Schmidt, Autonomous Research. Please go ahead with your question.
Britta Schmidt – Autonomous Research: Yes, hi there. I’ve got two questions please. One is coming back to the Corporate Center. So obviously it seems that the cost line there has gone up. Was there a bit of a reallocation of costs from other divisions, which looked a better, such as the core divisions in Germany? And secondly, just coming back to the costs for legal risk etcetera, how much of that would you consider to be underlying or not, because I didn’t quite get your guidance as to whether the result of the Corporate Center should be seen as an underlying result for the rest of this year or not? And then the other question is regards to the comment you made on conference call with regards to additional Tier-1 issues to other measures, maybe you can give us some thoughts on what potential timing for any Tier-1 issuance could look like, what sort of trigger levels you could perhaps assess, and what do you mean by the other measures please? Thanks.
Stephan Engels: Yes, Britta, on the Corporate Center. Again as I’ve said before, if you compare quarter-on-quarter, there is quite a big shift. And as I have said, that is driven by releases and additions between the two quarters. As you know, there is always a lot of stuff going onto what year and maintenance provisions, legal provisions and so on, as well as some bookings in Q1 on the legal provisions as such, they are, let’s say along the normal procedures that we have seen over the last quarters, more or less, there is no specific major or any other issue that I am losing sleep about. On the AT-1, I think we have in some comparison to the previous quarter now the situation that we have, A, a stable tax environment how these instruments will be treated. And secondly, we have a very active markets community at least in terms of expectations. And as we have said before, we are watching this and we see whether or not this is an opportunity. As I’ve said before, so far our numbers both in the leverage ratio as well on Core Tier-1 I think are good. And if we would do something here that would rather improve the numbers and has not been included in any calculations so far.
Britta Schmidt – Autonomous Research: Okay. And with regards to your comment on any other measures that you could take?
Stephan Engels: Yes, that is nothing specific. That is more the general assumptions that if needed, I probably find other creative ideas.
Britta Schmidt – Autonomous Research: Okay, thanks.
Operator: The next question comes from Martin Leitgeb, Goldman Sachs. Please go ahead with your question.
Martin Leitgeb – Goldman Sachs: Yes, good morning. Just two questions from my side. The first is just with regards to your earlier comments with regards to potential regulatory refinements. And I know that Deutsche Bank last week gave a guidance that they see a potential capital hit in the order of EUR 1.5 billion to EUR 2 billion arising from EBA Regulatory Technical Standards. And I was just wondering from your comments earlier, I sense do you see this is as a risk for Commerzbank as well, and I was wondering if you could quantify that? So would you see similarly to Deutsche Bank roughly 50 basis point potential hit if that were to come through? And the second question with regards to the potential commercial real estate loan sale in Spain. I understand that you’re mostly – can’t provide any further details to this transaction at this stage, but I was just wondering whether you could reconfirm your previous guidance on disposals that you would only dispose non-core loans if they would be at least capital neutral? Thank you.
Stephan Engels: Yes. Again on the regulatory refinements, I think I am not willing to comment on anything that applies to Deutsche, because I am basically lacking the background knowledge. With respect to Commerzbank, I guess a hit of 50 basis points as you mentioned is far beyond what I would expect at our end. And as I’ve said before in a certain sense, we haven’t included the retained earnings from Q1, which gives a certain buffer, but nevertheless the regulatory refinement will happen and it will happen sequentially. So there might as well be a quarter where you have a goodie and then there might be a quarter where you have a baddie to a certain extent we try to kind of manage it in a prudent fashion not to have as I said before to jumpy capital ratio, but again I don’t think it is anywhere in that dimension. Spain, yes, again what we have said before. We follow a value preserving strategy on our portfolio and that also applies to the Spanish portfolio.
Martin Leitgeb – Goldman Sachs: Great. Many thanks.
Operator: The next question comes from Hubert Lam, Morgan Stanley. Please go ahead with your question.
Hubert Lam – Morgan Stanley: Good morning. Two questions for me. Firstly, on your retail. The results there was pretty good. Just wondering if you could expect the slowdown for the rest of the year, because at this pace, you should be able to hit the EUR 500 million PVD [ph] target sooner than expected. Secondly, in terms of the outlook for the non-core. I was just wondering if you can give some color in terms of any pickup in interest in terms of your non-core assets over the quarter, for example, RBS is saying that they have seen greater interest in their non-core interests and we’ve seen some shipping sales here and there. So I was just wondering if there is any change in interest over the quarter? And lastly in terms of the tax rate. I thought it was a little bit higher than what expected for this quarter, just wondering if you could give the guidance for the rest of the year? Thanks.
Stephan Engels: With respect to the tax rates, yes, it’s roughly 29% in Q1, but again Hubert, I think that moves in the usual target that we have seen over the previous quarters which is somewhere between 25% and 31% and should kind of level out a little bit over the next quarters. Retail, yes traditionally Q1 is the best quarter in a year. And as I’ve said before, PC has seen a very good quarter. I’ve also said, let’s see, how things develop in the second quarter. And then I think we have a good picture here in total. I wouldn’t necessarily expect that the first quarter results in that sense is a one-off, but still keep in mind, first quarter tends to be the best quarter. NCA, we have in essence seen a very good interest in a number of assets. Again we are, to a certain extent, following here our own path and that we have a clear focus of reducing especially the higher risk portfolio clusters. And in that sense, I can say that we have a number of, let’s say, projects going on that we hope to get into the fruition let’s say until the end of the year definitely.
Hubert Lam – Morgan Stanley: Thank you.
Operator: The next question comes from Jeremy Sigee, Barclays. Please go ahead with your question.
Jeremy Sigee – Barclays: Hi there. Couple of follow-ups please actually. So firstly, the – I just wanted to clarify on the CET-1 development. Your comment that you do not expect to linear development, that’s referring to the regulatory refinements which you were effectively saying is kind of, I don’t know, 10, 20 bps swings maximum. Is that right? So you’re not warning of anything more dramatic than that? Is my first question. And then second, again it’s coming back onto the Corporate Center, because it sounds like you’re saying that EUR 150 million to EUR 200 million pre-tax loss is the effective run rate we should think about, which is quite a lot heavier than I think people are expecting for this year. And I just wondered how you see that, what are the items in there that should naturally run-down say in 2015? I am just wondering if you could give us a little outlook for how the Corporate Center drag should evolve on a sort of 12 to 24-month view?
Stephan Engels: Again on the CET-1, you’re right, the regulatory refinement provides a certain level of, let’s say, at least assumptions that you have to take looking forward. I hope that we have taken conservative or realistic assumptions on these things. And nevertheless I cannot exclude that. We may have little jumps, and I guess that the dimension that you have given should very well reflect my personal expectation here. The run rate on Others & Consolidation as I’ve said before also is driven by the result that we have in our Group Treasury. So again this Group Treasury can improve results obviously, the result on Others & Consolidation will improve. From today’s perspective, I do not necessarily expect this, since my assumptions is that the interest rate environment at least for the time being will be rather along these lines. So I guess, as I’ve mentioned before, the run rate should be at least for the time being expected to be in the region that I’ve mentioned.
Jeremy Sigee – Barclays: I’m sorry, so what then would be the right sensitivity for that last point? So how would you – so if this is kind of normal EUR 150 million to EUR 200 million pre-tax drag in this rate environment, for the Corporate Center including that Treasury drug. Could you quantify the benefit of a more normal rates environment?
Stephan Engels: Maybe two remarks. One, Treasury in that sense is not a drag. It is just on the year-on-year comparison, not as profitable as it used to be. And I think since I haven’t disclosed the Treasury contribution as such, I am not willing to disclose the right sensitivity.
Jeremy Sigee – Barclays: Okay. All right, thank you very much.
Stephan Engels: Yes.
Operator: The next question comes from Matteo Ramenghi, UBS Italia. Please go ahead with your question.
Matteo Ramenghi – UBS Italia: Yes, good morning to everyone, and thank you for the presentation. I have two questions. The first one, if I look at your balance sheet, there is about EUR 25 billion increase in total assets. I think about EUR 10 billion related to an increase in trading assets and EUR 20 billion are related to an increase in inter-bank loans, even though you are actually moving to a negative inter-bank position. Could you shed some light on those big movements in the balance sheet? And secondly, on Page 80 of the Quarterly Report, there is a table which you publish every quarter showing that the financial assets that have a negative, let’s say, valuation gap to fair value of the balance EUR 3.3 billion. Why is it the odd checked [ph] of the asset quality review and taking into account by the ECB? Thank you very much.
Stephan Engels: Yes, Matteo, on your first question, I think the best thing here is to compare Q1 ‘14 with Q1 ‘13. And what you see there in movement on the balance sheet follows kind of the normal market patterns that we have in the flow of the year, so to speak. The second question, I am in all honestly, not sure whether I have fully understood them and I would suggest that we’d probably call you up after the call to go through the detail here.
Matteo Ramenghi – UBS Italia: Sure. That’s fine. Thank you.
Stephan Engels: You’re welcome. Thank you.
Operator: The last question comes from Riccardo Rovere from Mediobanca. Please go ahead with your question.
Riccardo Rovere – Mediobanca: Good morning to everybody. Sorry, a couple of questions. First of all is on shipping, I see that you posted roughly EUR 75 million loan loss sales, but you also say that there is a kind of one-off or maybe one-off of EUR 50 million. So let’s say EUR 120 million, EUR 125 million. Can you confirm that these EUR 50 million due to a parameter update under IFRS is one-off? But even if it is a one-off, let’s say, if I then take this amount and multiply it by four, I would in any case fall well below the EUR 600 million that you posted last year. Do you continue to believe that shipping losses will remain more or less like last year? And the second question I have is, can you explain a little bit what is behind the must safer volatility although NII [ph] in trading in Corporates & Markets which is basically making 70% or almost 70% of the revenues in this quarter hardly predictable from outside? Thank you.
Stephan Engels: On your shipping question, indeed, if you want to look for a kind of comparable LLP run rate between Q1 ‘13 and Q1 ‘14, the number of EUR 124 million that you mentioned, so excluding basically the top down or the top level adjustment that was result on the IFRS, let’s the EUR 124 million and makes it comparable to last year’s first quarter. In general, my view or our view on the shipping industry for 2014 is unchanged. We would expect a recovery definitely not in 2014. It should be rather in 2015. Whether we exactly get to the same EUR 600 million that we have seen in 2012 and 2013, I think that’s basically too early to tell, but as I’ve said before, our general outlook, our general guidance, our general valuation of the shipping industry remains unchanged. On the NII again, and I think we have had this in previous quarterly discussions here, that is a new IFRS regulation that let’s to certain split of deals that let basically to the result that you are, at least for Corporates & Markets, better off to compare on a revenues before LLP level, as by the way, most of our peers do in the disclosures as well because the NII line and the NCI line need to be seen together.
Riccardo Rovere – Mediobanca: Okay. Thank you very much.
Stephan Engels: You’re welcome.
Riccardo Rovere – Mediobanca: And if I may, a final extended question. Is the kind of 3% leverage ratio fully phased matter of discussion with regulators?
Stephan Engels: Sorry, I didn’t get you.
Riccardo Rovere – Mediobanca: Sorry, does the 3%, three-point something percent, fully loaded leverage ratio that you’re reporting in this quarter, is that matter of discussion with regulators?
Stephan Engels: No. It is not.
Riccardo Rovere – Mediobanca: Okay.
Stephan Engels: Okay.
Operator: There are no further questions left.